Operator: Welcome to TeleTech's Fourth Quarter, Full Year 2015 Earnings Conference Call. I would like to remind all parties that you will be in a listen-only mode until the question and answer of today's conference call. This call is being recorded at the request of TeleTech. I would now like to turn the call over to Paul Miller, TeleTech's Senior Vice President, Treasurer, and Head of Investor Relations. Thank you, sir. You may begin.
Paul Miller: Good morning, and thank you for joining us today. TeleTech is hosting this call to discuss its fourth quarter and full year 2015 results ended December 31. Participating on today's call are Ken Tuchman, our Chairman and Chief Executive Officer; and Regina Paolillo, our Chief Financial and Administrative Officer. Yesterday TeleTech issued a press release announcing its financial results for the fourth quarter and full year 2015. While this call will reflect items discussed within those documents we encourage all listeners to read our most recent Form 10-K. Before we begin I want to remind you that matters discussed today on this call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinions as of the date of this call and we undertake no obligation to revise this information as a result of new information that may become available. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those described. Such factors include, but are not limited to, reliance on several large clients, the risks associated with lower profitability from or the loss of one or more significant clients, execution risks associated with ramping new business or integrating acquired businesses, the possibility of asset impairment and/or restructuring charges, and the potential impact to the financial results due to foreign exchange rate fluctuations. For a more detailed description of our risk factors please review our most recent annual report on Form 10-K. A replay of this conference call will be available on our website under the Investor Relations section. I will now turn the call over to Ken Tuchman, our Chairman and Chief Executive Officer.
Kenneth Tuchman: Thank you, Paul, and good morning to everybody. 2015 was a productive year for TeleTech. We achieved another year of strong bookings, added marquee brands to our client portfolio, expanded our integrated suite of offerings, and launched exciting new products. Furthermore, on a non-GAAP constant currency basis, we reported year-over-year growth in revenue, operating income, cash flow from operations and earnings per share. My comments today will touch on full year 2015 and our view on where the customer experience market is headed. Our managed services platform that delivers customer experience excellence, deeper customer engagement, accelerated growth and digital transformation is gaining traction. After my comments, I'll turn the call over to Regina for a review of the company's financial performance and outlook. Turning to our financial results for full year, full year 2015 non-GAAP revenue was $1.35 billion on a constant currency basis, up 8.8% over the prior year. Full year 2015 non-GAAP operating margin was 8.5% on a constant currency basis compared to 8.1% on the prior year. Full year GAAP EPS was $1.48 per share in 2015, an increase from $1.43 in 2014. Solid bookings continued into fourth quarter resulting in full year 2015 new signings of $470 million, an increase of 7% over 2014 bookings. Bookings also remain well diversified among industries, geographies and segments, with 56% coming from the customer strategy, technology and growth segments, up from 48% last year. Furthermore, we added over a dozen significant new clients to the portfolio in 2015 and increased - excuse me, in 2015 and increased the number of clients that have taken more than one service across segments to 74 clients, a 42% year-over-year increase. Undeniably our value-oriented suite of integrated capabilities and go-to-market strategy is working as demonstrated by eight consecutive quarters of new business signings at or above $100 million. Before we go into a discussion of the market I want to share some highlights of each segment. 2015 was a breakout year for customer growth services. This segment grew revenue 16.5%, signed many new market leading brands and delivered positive results for clients. The platform uses analytical rich digital campaign - excuse me, uses analytical rich digital campaign management to put the right message in front of the right customer at the right time. Our ability to deliver exceptional outcomes was recognized recently by the Stevie awards for sales and customer service. Our Acquisition 360 platform was named best in new marketing solution and our work for FedEx won sales operations team of the year. It's exciting to see how the momentum continues to grow in this segment as the market becomes aware of our unique approach to competing in the B2B and B2C digital markets. Customer technology services also had a strong year growing revenue 13.6% and signing several significant new clients. We've continued to invest in R&D partnerships and they are beginning to pay off. CTS reached its aggressive growth target and our team was named Cisco contact center cloud partner of the year in North America for the second year in a row. In 2015, we nearly doubled our omni-channel cloud revenue and have now extended our reach internationally. Customer strategy services continues to be an enabler for our overall platform. Our consulting segment provides strategy, analytics, process optimization, knowledge management, leadership and mindset, and together these capabilities help drive customer experience transformation for our clients. A great example of the collaboration between CSS and CMS is the work we are doing for a large B2B company. They initially hired us to manage capacity fluctuations within their customer experience center. As we began to interact with customers we saw significant gaps between our client's customer experience aspiration and the reality of their current operations. Working side-by-side with their C level executives we are now helping them architect a holistic customer experience road map, inclusive of our care, technology and revenue growth services. Customer management services is operationally at its peak. Our client net promoter score and satisfaction scores are at an all-time high. Our customer retention rates are strong and our innovative solutions are gaining market prominence. We're witnessing a perfect storm. The conversions of declining customer satisfaction with brands and the rise in the CEO's focus on improving the customer experience. This creates an unprecedented market for breakthrough customer experience solutions. Our competitors are approaching this growing opportunity through consolidation. We see it very differently. Our strategy is focused less on the contact center as we've known it, and more on a disruptive outcome-based integrated platform. We are more committed than ever to our strategy. Last year we commissioned an independent research study around customer experience trends. The results reaffirmed what we already know, solve a problem for a customer at the first point of contact and you'll have a fan for life. Whether its voice, on the web, through a mobile app, customers want brands to anticipate why they are making contact. They want their problem solved as quickly and easily as possible. More than two-thirds of the respondents to our study urged brands to make first contact resolution a priority, suffice to say that it is our priority, too. A new Gartner study reinforces this point. Its research shows that 90% of the companies plan to make customer experience a competitive differentiator. 80% of CEOs think they are delivering a superior experience today, while less than 10% of their customers agree. And a recent study from Dimension Data uncovers that the severity of the investment gap, its report states that up to 50% of contact centers have no analytics capability, 40% have no workforce management systems, and the majority of contact centers don't have a way to integrate the multiple channels their customers are using to reach them. Why the massive disconnect? Companies are still approaching the customer experience with an inside out strategy. They are addressing the challenge through an outdated lens of how things used to be. The days when corporate systems and processes ruled how customers made contact, those days are ending. Back in the day customers used one or a maximum of two channels to interact with a brand. Today the choices are extensive and growing. Customer journeys used to be linear and today they are multidimensional, disconnected and include dozens of micro-moments that happen on a mobile phone through a text, social media, email, on the web or in a retail store. And customers used to be patient and willing to wait for a response. Today, in absence of instant gratification, they move on to the competition. If that's not bad enough, they leave behind a visceral social media trail that recommends their followers to do the same. Today, a handful of companies have built their business to anticipate the needs of today's digitally sophisticated and capricious customers. These customer centric brands are leading the pack and reaping the rewards of growth, profitability and passionate customer loyalty. Their competitors are scrambling to catch up and gain an outside-in view but they're falling short because they are woefully unprepared. They don't have a 360-degree view of their customers. They don't have an integrated perspective of what their customers are doing, and they don't have a clue what their customers will want to do in the future. These businesses are not structured to meet the demands of today's customers. They don't have a customer-focused strategy, they don't have an integrated technology platform, and they don't have the people and the culture to make the changes help them survive. As the speed of digital disruption accelerates, the situation will only grow more challenging. The race is on, but countless well-known and respected brands can't magically change overnight. They have decades of systems, technologies and processes that needs to evolve to keep up with the digital revolution. According to a recent research firm from the McKinsey Global Institute the US economy only operates at 18% of its digital potential. The productivity gains that digital technology should be enabling are not showing up fast enough in the broader economy. Why? Because the change of this magnitude is hard, costly, takes courage. It takes a team of technology and customer experience innovators to turn the digital tide. Over the past several years, we've evolved our platform to become that company. We've been focused on building the solution to help brands successfully navigate this uncharted territory and we are now just beginning to hit our stride. Through our customer strategy services, we're helping leaders to become obsessive in their desire to understand their customers better. We're providing them with the data, the processes and the organizational transformational tools to help them see the world through their customer’s eyes. Through our customer technology services, we're architecting and deploying the systems that make those interactions seamless and more affordable. With our customer management services, we're enabling organizations to deliver personalized experiences at scale. And with our customer growth services, we're leveraging digital tools to engage new customers at the precise moment they are ready to buy. And when we weave our capabilities together across segments, we're helping our clients orchestrate exceptional customer experiences that are seamless, personalized and simple. But we know that's not enough, customer demand for an effortless cross-channel experience is driving the market to move at mach speed. The contact center in the form that we know today will not exist in the future. As the number of types of communication channels proliferate, the way that companies and their customers interact will change dramatically. Over the last five years, we've been working on a cloud-based solution to complement our current managed services platform. This new solution is designed to enable the customer experience of the future. Using advanced analytics, our solution is able to sense and respond and orchestrate customer journeys in real-time across any channel, web, chat, email, SMS, voice, social, video, et cetera. The platform recognizes who the customer is, why they are reaching out and offers solutions based on the unique needs. By simplifying interactions between customers and companies in the moment, our solution dramatically improves customer satisfaction while reducing overall cost to serve. While still early days, I look forward to sharing more specifics about this capability in the months to come. It's an incredibly exciting time in our industry. The quicker things change the more opportunity there is for a partner like us to succeed. We have a deep market understanding, a robust balance sheet, a proven track record for innovation. Before I hand the call over to Regina I want to reaffirm the four pillars building our growth strategy, as outlined for our shareholders several years ago. Namely, to deliver sustainable profitable top-line growth, to dramatically increase market awareness and adoption of our transformational and differentiated solutions, to accelerate innovation, and to execute upon strategic and accretive acquisitions. We have been deliberate with our strategy and invested even when it impacted our short term goals. We knew our transformation would be costly and challenging, but believe it is well worth it. Our intention has been unwavering to build a quality company that is ahead of the curve, to be a leader, an innovator and a partner for change. We remain confident in our path, resolute in our approach and optimistic about our future. We have a growing, prestigious client base, differentiated value proposition, and a diverse, talented and dedicated employee base. Today we are strong, committed and ready for where the market is today and where it will be heading tomorrow. I will now turn the call over to Regina.
Regina Paolillo: Thank you, Ken, and good morning, everyone. I'll start with a review of our 2015 fourth quarter results, make some comments on our full year 2015 results, and end with a summary of our 2016 guidance. In the fourth quarter 2015 our GAAP revenue was $341.8 million, a 1.1% increase over the same period last year. Adjusted for constant currency fourth quarter revenue was $357 million, a 5.6% increase. GAAP operating income was $25.1 million in the fourth quarter or 7.3% of revenue, compared to $30.1 million or 8.9% in the prior period. The Q4 operating income was adversely impacted by one-time charges related to the write-down of goodwill associated with WebMetro and Brazil. Adjusted for constant currency, restructured and the aforementioned impairment charges, our operating income was $31.3 million or 8.8%. On a non-GAAP constant currency basis, our emerging businesses, including our strategy, technology and growth segments, collectively grew 20%. These businesses delivered healthy improvement and profitability with operating income of 41% to $14.3 million, resulting in an operating income margin of 13.5%, or 200 basis points over the prior year. Our customer management segment grew revenue 0.4% on a constant currency basis, which admittedly was less than we expected. And this is primarily related to lower healthcare exchange volumes experienced across the industry. CMS' operating margin was 6.8% versus 8.8% in the prior year. The decline is related to lower than expected healthcare volumes, lower facility utilization and a non-recurring litigation settlement. Our normalized tax rate in the fourth quarter was 19.7% versus 22% in the prior year. The reduction is primarily related to the geographic mix of our taxable income. Our GAAP EPS was $0.35 versus $0.44. Non-GAAP EPS before adjustment for foreign exchange was $0.47. Tax adjusting for the impact of foreign exchange EPS was $0.49, an increase from $0.46 in the prior year. Capacity utilization across dedicated and shared seats was 73% in the fourth quarter of 2015, a reduction from 84% in the prior year period. The lower utilization primarily reflects the super site implementation and lower than expected healthcare exchange volumes in the fourth quarter. While the first and second quarter of 2016 will dip to between 70% to 72%, we estimate that we will be between 78% and 80% by year end. At the end of the fourth quarter, cash was $60.3 million and debt $107.3 million, resulting in a net debt position of $47 million, which compares to $28.6 billion in the prior year. As announced in February of 2016, we amended our credit facility. The new terms on this facility increase our borrowing capacity, lower our pricing, improve our borrowing leverage, and extend the maturity date five years. Cash from operations was $17.6 million compared to $32.2 million. The change in cash flow is the combination of higher cash adjusted net income offset by a net increase in non-cash working capital. The increase in working capital is due primarily to an increase in accounts receivable, in line with the increase in revenue and lower payables based on the timing of payroll and third-party payables. DSO was 76 days in the fourth quarter of 2015, an increase of one day over the prior year quarter. Capital expenditures were $17.4 million in the fourth quarter, up $2 million over the prior year. The majority of CapEx continues to be growth-oriented related to investments in our CMS healthcare footprint, CTS cloud infrastructure, Revana's digital engagement platform and other R&D initiatives. In the fourth quarter we repurchased 23,000 shares of common stock for a total cost of $600,000. On a full year basis we repurchased 686,000 shares for a cost of $17.2 million. We ended the year with $19.6 million of authorized repurchase funds. In February of 2016 we announce that our Board of Directors approved an additional $25 million. We also paid an $0.18 per share semi-annual dividend in the fourth quarter, or $8.7 million. In February 2016 the Board of Directors declared an increase in the semi-annual dividend to $0.185, payable on April 15, 2016 to the shareholders of record on March 31, 2016. Let me now transition to the full year 2015 results. Our full year bookings were $470 million, up 7%. Highlights include 172% growth in new logo bookings, CGS bookings growth of 105%, and vertical industry sector growth with our technology vertical at 89% growth, financial services at 34%, and public sector and automotive each at 28%. Our 2015 GAAP revenue was $1.287 billion, a 3.6% increase year-over-year, and our GAAP operating margin was 7% versus 7.8% in the prior year. On a non-GAAP constant currency basis, our revenue was $1.351 billion, an 8.8% increase, of the 8.8% constant currency revenue growth, 6.5 percentage points was organic, an increase from 3.1% in 2014. All four business segments grew in 2015. Customer strategy services grew 42.5%, including the acquisition of rogenSi, customer growth services grew 16%, customer technology services grew 13.6%, and customer management services grew 4.7%. We have particularly strong year-over-year revenue growth in a number of areas, including our customer technology cloud offering at 91% growth, our customer growth sales outsourcing at 16.5%, our customer management at-home offering at 17%, and customer strategy analytics at 15%. Our technology vertical industry sector grew 33% and healthcare grew revenue 23%. Our non-GAAP constant currency operating income was $115 million, up 14.7% over the prior year. Operating margin was 8.5%, up 40 basis points over the prior year. The non-GAAP constant currency operating income performance was impacted by $9.9 million of one-time restructure and impairment charges, including the write-down of WebMetro and Brazil goodwill, $6.5 million of incremental investment in sales, marketing and R&D and $4.1 million related to lower utilization. Collectively these items impacted the operating margin by 150 basis points. The emerging businesses operating income was $40.3 million collectively, up 93.3% from 2014's $20.8 million, with an operating margin of 10.5%, up 400 basis points from 2014 to 6.5%. The improvement is primarily driven by scale and accelerated growth in higher margin products and services, including our cloud-based customer experience technology and outcome-based sales outsourcing solutions. The decline in the customer management services non-GAAP constant currency operating income margin from 8.6% in 2014 to 7.7% in 2015 relates to $4.5 million of incremental investment in sales, marketing and R&D, $4.1 million into the lower facilities utilization, and a $1.9 million non-recurring litigation settlement, collectively a 1.1 percentage point negative impact on the operating income. As we ramp 2015's bookings and add additional bookings in 2016, we expect to see improvement in CMS' operating margin. SG&A as a percentage of GAAP revenue declined from 16% in 2014 to 15.1% in 2015. Depreciation and amortization expense as a percent of GAAP revenue was 5%, an increase of 40 basis points on the build-out of the super site R&D and $0.5 million of additional acquisition based amortization expense. We expect SG&A as a percentage of revenue and amortization expense to be flat in 2016 and begin to decline as a percent of revenue in 2017. Full year cash flow from operations was $133.8 million versus $94.1 million in the prior year. The 2015 normalized tax rate was 20.4% versus 19.8%. Our 2015 GAAP earnings per share was $1.26, adjusted for restructuring and impairment, EPS was $1.48, tax-adjusting for the $14.9 million of foreign exchange impact on operating income the EPS was $1.66, up 15% over the prior year. Before I address our 2016 guidance, I wanted to provide a quick update on item 9A to our Form 10-K, controls and disclosures. As disclosed and discussed in the third quarter of 2015, we identified material weaknesses in our control environment related to journal entries, reconciliations and sufficiency of staff. During the fourth quarter of 2015 and first quarter of 2016 as audit testing of our SOX controls and financial statement balances was completed, we identified two additional material weaknesses related to revenue processes and impairments. The root cause of these control failures is the combination of increased complexity of our business, the timing of acquired company financial system integration, manual monitoring of our transaction controls, employee turnover, and gaps in technical talent and training. We believe these deficiencies with a dedicated focus can be resolved within a reasonable timeframe. In fact, we made significant progress already, including a new global controller, the addition of a VP of accounting operations, a VP of shared services, two segment controllers and additional technical accounting expertise. We formed a SOX program management office and have added a SOX program manager. Additionally, we are utilizing a third party expert advisor in the assessment of our risk objectives, the redesign of our business and financial controls, and controls training of our leaders, managers and subject matter experts. As of December 31, 2015, all TeleTech businesses are now accounted for on a common ERP platform. Today our open positions are greatly reducing and the trend on attrition is improving. With the 2015 audit and the filing of the 10-K behind, us and with the oversight of the audit committee and Board of Directors, we have turned our full attention to the remediation of the material weaknesses, the redesign of our control environment, including the implementation of policies, processes, technologies and tools that will provide an effective control environment on a sustainable basis. It is important to note that these control deficiencies did not result in errors that were material to our annual or interim financial statements. We expect to fully remediate the material weaknesses within the 2016 calendar year. Regarding our 2016 guidance, we estimate a constant currency organic revenue growth rate between 6.75% and 7.5%, which assumes an estimated 3 percentage points of adverse impacts from foreign exchange rate movements. Our emerging customer strategy, technology and growth businesses as a group are estimated to grow revenue in the low to mid double-digits. CGS is estimated to grow 30% to 35%, CTS 5% to 6% given a buyers’ market and product headwinds, and CSS will be flat given the economic headwinds in the Middle East region. Our customer management business will be in the low to mid-single digits before adjusting for approximately 3% of adverse impact from foreign exchange. We expect 46% of our revenue and operating income in the first half of 2016 and 54% in the second half of 2016. In addition, we expect our revenue mix to remain well diversified with the percentage of revenue contributed from our emerging businesses at approximately 31.5%, up from 29% in 2015 excluding acquisitions. On a GAAP basis, we anticipate TeleTech's full year 2016 guidance as follows, revenue to approximate $1.335 billion to $1.345 billion, reflecting an estimated 3% adverse impact from foreign exchange rate movement, operating income margin to approximate 8.1% to 8.3%, reflecting an estimated 20 basis points adverse impact from foreign exchange movement. Capital expenditures will approximate 4.5%, down from 5.2% in 2015, approximately 65% of 2016's CapEx will relate to growth initiatives. Our estimated effective tax rate will range between 22% and 25% in 2016. The current foreign exchange environment is undoubtedly a challenge across US based multinationals. For TeleTech it is especially frustrating given it has obfuscated the financial benefits associated with our progress in transforming and diversifying our customer experience platform. We anticipate the cumulative impact of foreign exchange movements in the last two years, including our 2015 actuals and 2016 estimates to approximate $100 million in revenue and $21 million in operating income. Absent the significant strengthening of the US dollar, we will be guiding revenue at $1.435 billion to $1.445 billion, a 7.6% to 7.9% growth rate and operating income at approximately $130 million, a 9% operating income margin, all of which is organic. In closing, it's apparent that forward thinking value oriented brands are increasingly selecting TeleTech as their go-to partner for customer experience transformation. The accelerating growth rate of our emerging businesses is confirmation of the market demand for innovative approaches to customer experience. With continued growth in bookings alongside new product launches and an expanding international footprint, we expect to continue to advance our progress in transforming our financial model with higher revenue growth rates and operating margins. We also remain committed to maximizing shareholder value through increased market share, continuous innovation and profitable growth. We are pleased with our board's recent decision to expand our credit facility, extend our long standing share repurchase program, and increase our semi-annual dividend. These decisions demonstrate the board's confidence in our strategy and the strength of our cash flows and balance sheet. With that, I will turn the call back to Paul.
Paul Miller: Thanks, Regina. As we open the call, we ask that you limit your questions to one or two at the time. Operator, you may now open the line.
Operator: Thank you. We will now begin the question-and-answer session. Our first question will be coming from the line of Mr. Mike Malouf from Craig-Hallum Capital. Sir, your line is open.
Mike Malouf: Great. Thanks, guys for taking my questions.
Kenneth Tuchman: Hi, Mike.
Mike Malouf: I'm just wondering if you could comment a little bit, there is so many changes going on in your business right now, as you really did a good job of articulating in your comments, Ken. And I just wondered, as you look out at the different ways that consumers interact and the cloud-based solution that you guys are really championing, what does that mean for your long-term operating margins as you look out over the next three, three-plus years?
Kenneth Tuchman: For us, our goal is very simple and that is that over time our technology will play a dramatically more significant role, and the more revenues that flow through our technology platforms, the higher the margins. Our business, as you know, is driven by a large amount of labor and we're seeing ways to drive dramatically more efficiency, while driving a higher experience. And that's all through an orchestrated platform. So, to answer your question, the whole reason why we're going through all this transformation is to build a platform that drives significantly higher margins.
Mike Malouf: Okay. And then a question on cash use, I was just looking at the number of shares, it looks like from June to now we basically have flat shares outstanding. And you really have sort of three focuses on uses of cash and that's your dividend, of course, acquisitions and then share buybacks. It seems like the buybacks and the acquisitions have been a little bit quieter than normal. Are those still three major uses, do you think you will start using some of that share buyback that you have the ability to use or are you waiting for a larger acquisition? Can you give us a sense on cash use over the next year or so?
Kenneth Tuchman: Yes. I mean, I think it's no secret that valuations in 2015 more likely than not hit a peak, and we looked at, I would say, hundreds of deals and made the decision to let others enjoy the benefit of those acquisitions and the valuations that they were willing to pay. We believe that a lot of these companies, that prices will attenuate going into the latter half of 2016 and '17. So we are absolutely fully committed to doing more acquisitions. We obviously increased our line of credit, so that we can flex our balance sheet. We didn't just do it for the sake of doing it. And this line of credit lets us go up as high as, with an accordion over $1.2 billion. So we think we're in a perfect situation to be able to do so meaningful acquisitions. That said, we believe in our stock and we have no intention of really slowing down in the purchasing of our stock. We would have liked to have purchased more stock last year, but due to the way our stock is purchased through the 10b5 plan, the blackout period seemed to be much more extended and consequently, we were in the - the plan was what was dictating what we could and could not purchase because it controls all of the purchasing. So, what I would say to you is, our number one priority is absolutely accretive and strategic acquisitions. That said, we also believe that it is accretive for us to purchase our stock and will continue to do so. Did I answer your question, Mike? I'm sorry if I waxed on too long.
Mike Malouf: You hit the first two. Maybe I can just continue on. On the dividend side, is that something that you think could increase over time or is that a pretty good level you think right now?
Kenneth Tuchman: No, I think it absolutely can increase. Our cash flow is good, it's solid. We've got a very solid business with a solid client base. And, as you can see from our diversified part of our portfolio, which is growing very nicely just as we projected multiple years ago, our expectation was that those businesses were going to grow at a faster rate and that they had the potential to throw more profit to the bottom line. And we're already seeing exactly that. They are growing at a dramatically faster rate than the heritage business and we're seeing real operating leverage as these businesses gain scale. We should be realistic. These businesses, you know, they were non-existent just a few years ago. And today they are now - some of them are getting close to becoming near $200 million by the end of this year. And my attitude is, on any of these businesses, when they start to hit $200 million, $250 million in size and scale, their overall efficiency goes up dramatically and that's when we really begin to see the accretion of the profits that we have been looking for and planning on.
Mike Malouf: Got it. Thanks for the help. I appreciate it.
Kenneth Tuchman: Thank you, Mike.
Operator: Thank you. Our next question will be from the line of Steve McManus from Sidoti. Sir, your line is open.
Steve McManus: Hey, guys. And thanks for taking my questions. So the first one, I just wanted some insight regarding the capacity utilization rates. So the super site build-out is pretty much behind you guys, why are you expecting a dip in the first half of '16, is that mainly due to the healthcare volume or anything else worth noting there?
Regina Paolillo: So just it's probably worthy of a clarification. The super site is behind us in the sense that we built the super site for, as you know, one of our largest clients. And that site is filled. There were sites that were vacated because this was a transfer and growth. And those sites that were vacated are we feel, very strategic sites and make sense for us, rather than to exit them, to keep them in our portfolio as we grow our CMS and CGS businesses. So, one is that it's not entirely behind us because we continue to fill those very relevant strategic sites that were vacated. Second is that we naturally have a dip into Q1 and Q2. We typically have an increase in utilization in Q4 on our seasonal volume and that comes off into Q1, we see a decrease. Q2 is probably our lowest quarter and then you'll see us start to grow into Q3 and Q4.
Steve McManus: Okay. And then looking at the CGS segment, a lot going on during the year. How should we look at operating margins moving into '16, any continued investments there that we should expect that will impact profitability moving forward?
Regina Paolillo: Yes. So, that business went from seven points - an NOI of 6.3% in '14 to 8.1% in '15, and we expect to see it at or slightly higher than the 10% level into next year. A part of it, if it's going to grow, right, it will grow at least 30%. And part of the reason that the OI, while it will probably reach near mid-teens by the end of '16, overall for the year it will be burdened by a ramp, significant volumes of ramp. I would just remind you that this business is predominantly now being sold on an outcome-based and it does take a little bit of time. Albeit we received some fixed pricing for the early days, it does take some time to get to its peak margin as we ramp the business.
Steve McManus: Okay, great. Thanks a lot.
Operator: Thank you. Your next question will be from the line of Frank Atkins. Sir, your line is open.
Unidentified Analyst: Thanks for taking my questions. Could you give us an update on the currency exposure, just on the revenue side, and do you anticipate any changes going forward there?
Regina Paolillo: Yes, I think as I probably said four or five times during my comments in the script, my formal comments on guidance, our guidance is - has about 3% adverse foreign exchange impact for 2016, and our OI has about a 20 basis point negative impact from foreign exchange movement.
Unidentified Analyst: Okay. But could you give us the breakdown in terms of the particular currencies or percentages of revenue driving that?
Regina Paolillo: Yes. So for us, it's the Australian dollar where we have one of our largest clients. We have an Australian dollar contract, which is one of our biggest clients. And so, as we bring those results back, revenue and OI, given the strengthening of the dollar, probably over 30% in the last two years, the dollar has strengthened against the Australian dollar. That's probably 90% of it, the balance is Brazil, and those are the primary.
Unidentified Analyst: Okay. Great, that's helpful. And then I wanted to ask a little bit about pricing in the emerging businesses, any changes you are seeing there?
Kenneth Tuchman: No, not really. None whatsoever, actually. If anything, I think that as we're gaining stride we're seeing really good opportunity to drive better overall margins. So, no, I would say not. And really that's to be expected. These are in many cases, businesses that have very unique positions in the marketplace and they don't have the same level of competition. And, frankly, in some of the areas, capabilities we're providing, we really feel that our offerings are proprietary and very unique. And so, we think we've got very good potential for continuing to drive margin. Another thing that I should note is that on for example, CGS services, the business is being priced less and less in a what I would call a classic time and material format, which is how our heritage business of CMS operates, and is moving much more to an outcome-based format. And so in that type of a format, it gives us much better potential to be able to utilize all of our capabilities and all of our tools to drive the best possible outcome. And since we're being compensated on the outcome it tends to lend itself to far better margins.
Unidentified Analyst: Okay. Great. And last one from me, can you talk a little bit about the hiring environment and retention in these emerging businesses as you are growing them?
Kenneth Tuchman: That's a great question, and I have to tell you that, to my surprise, we are probably seeing some of the best talent that we have seen in a very long time, if not since the inception of the company. I think that people are genuinely excited about where we are going and what our focus is. I think that they believe that there is really a need for a company that is passionately focused on experience, engagement, growth and digital transformation and that when you bring all those things together it kind of hits every CEO's agenda. And so, I am frankly very surprised in a very positive way because I would think with unemployment as low as it is in the United States that we would be challenged with finding top-notch talent and we are absolutely not. We've got a great talent pipeline. We feel really good about the talent that we've recently brought in and really good about the prospect pipeline of talent that we're filling vacancies. So, overall, we have no concerns at this point in time with the talent. And I know that many of my friends in other industries are experiencing recruiting issues and thankfully we're not right now.
Unidentified Analyst: All right, great. Thank you very much.
Kenneth Tuchman: Thank you.
Operator: Thank you. The next question will be from the line of Bill Warmington from Wells Fargo. Sir, your line is open.
Bill Warmington: Thank you. Good morning, everyone.
Kenneth Tuchman: Good morning.
Bill Warmington: So you had mentioned the outcome-based solutions and I wanted to ask how much revenue is currently falling into that category?
Kenneth Tuchman: Well, it's a little hard to say only because we're also starting to move some of our CMS business into more of an outcome-based format, as well. But the business that's truly designed from an outcome-based standpoint would be CGS, and a high percentage of their revenue is outcome-based, and our newer deals are moving more and more to that. So I am not prepared to give you an exact number for two reasons. One, because I'm not capable because I don't actually have the number at hand, and, two, because even if I was capable, I don't think strategically that that's in our best interest to expose it. But what I would tell you is that it is absolutely our objective in two of the businesses, both CMS and CGS to move to more of an outcome-focused business model, much more so with CGS because it's all about igniting growth than about CMS which is about service and support and driving incredible experiences. But what we're finding is that we're demonstrating to clients that there's a real opportunity to take service and basically take a service interaction and shift it to a sales opportunity. And, therefore, in those cases, we want to be fairly compensated for the new revenue that we are mining that in fact, did not exist prior to us doing the work that we were doing. So, as we introduce more analytics and more artificial intelligence into the stuff that we're doing, we think that that gives us the ability to be far more efficacious with finding new revenue streams for our clients. And therefore they feel that it's fair that we're enjoying in sharing in that revenue increase, via being paid outcome-based revenues, which typically are a percentage of what we're generating.
Bill Warmington: Now, in the CGS business, the Revana business, that's seen some very strong growth. Maybe you could comment a little bit in terms of what's been driving that, has it been more the up-sell and cross-sell to the existing clients? Has it been more of the search engine optimization to small and medium business? Is it more the in-ad - I am sorry, in-country word - ad word search, what is it that is really driving that?
Kenneth Tuchman: I think it's a myriad of things, and I think the best way of explaining it is, of the four businesses that we report on, it is a business that has a very defined and very measurable outcome that we're willing to put our money where our mouth is and that we're willing to guarantee. So what that means is that a client can use our capability with basically a zero based budget and we will deliver off that zero-based budget the amount of net new customers that they want, and that is a very appealing sales proposition. But it's not like what others are trying to do where they are providing outbound telemarketing services or whatever. The fact that we have a complete search to intent to acquisition business, the fact that we have a very sophisticated real-time analytical platform that is driving significant results, is what's allowing us to have the actuarial data to feel comfortable to price these things in a way where we can basically guarantee an expense to revenue type of a relationship. So it's not uncommon for us to say to a client that we will generate, if you spend a $1 with us, we will generate, depending upon the category anywhere from $5 to $11, and we'll guarantee it. And we're doing it for the biggest companies in the world right now and every single time that they bring in other companies to champion challenger us, I can absolutely say with absolute transparency that we're 200% to 300% better in performance than these other companies that are using traditional methodology. So, it's not just the SCO, SCM capabilities, but it's all the proprietary technology that Revana has been investing in over the last 5 years. And they've been investing millions and millions of dollars building a platform that does everything from all the digital campaign management, all the real-time search engine, word buying where it can buy real-time based on the input and based on the results that we're getting minute-by-minute. I could go on and on and bore you with a bunch of technological googly-gop [ph]. But the point is that they have an end-to-end platform that is bulletproof, that's proven. Last year I believe they delivered about $5.5 billion to $6 billion on net new revenues on behalf of our customers that's documented. And we think that numbers going to be dramatically higher this year because of the growth that they are experiencing. So it's a business that's also very complementary to our other services, and to your point, we've got about 280 of the largest corporations in the world as our client base. And so we are in fact marketing to the client base. But to Revana's credit, they have achieved a lot of net new logos that in fact, were not part of any of our other business units. And then obviously we sell the other direction to the other capabilities and services that we have.
Bill Warmington: And then one follow up, if I might, just to ask about the target margin as you go out and how you get there, what are you thinking?
Kenneth Tuchman: Are you saying overall?
Bill Warmington: I'm saying for the whole company. As you look out three years, an estimate in terms of what you're thinking about in terms of where you want to take the margins, and then how do you get there?
Kenneth Tuchman: So I think that three years from now we really want to have 50% of our revenues or 55% of our revenues to be in these emerging categories. So I think you're asking a very fair question and a good question. The reality is that our margin is going to be dictated by how much of our business is diversified into these other categories. And so, what I would just tell you is that we're committed to having double-digit growth rates and double-digit EBITDA margins. And there's no question about it that we're not satisfied with where the margins are today. We believe that the margins need to be significantly higher than where they are. But we also understand that like any businesses that's focused on transforming, as well as growing, you've got to invest. And so whether it's a SaaS business, like a salesforce.com, or any of these other types of businesses that are emerging, the amount of energy that has to be put into the SG&A, into the growth and into the R&D is very significant. And so, while I'm not - while I'm never satisfied with the profitability of the business, what I am satisfied with is that we have a lot of moving parts, that we are building a very comprehensive and very sophisticated ecosystem. And we're doing all of that while maintaining solid cash flows and while putting a good profit to the bottom line when most companies that are in this mode are making excuses and basically are not making money. So we think that we've done a good job of balancing these priorities. I will tell you that it has not been easy, but we're feeling like we're getting a lot more stride right now. And we think that as we get out there, to your point, to year three and year four, we absolutely should see the double-digit growth and the double-digit margins. And we are seeing the double-digit growth and the double-digit margins right now in all the diversified businesses. It's the heritage business that to be expected, is not experiencing double-digit growth. But that said, we believe that we can grow that business at a faster rate. And so we're now putting a lot more focus on that business in 2016 now that we've kick-started all these other businesses and have them going in the right direction with the right management team and the right leadership.
Bill Warmington: Got it. All right, thank you very much.
Kenneth Tuchman: Thank you.
Operator: Thank you. Our last question will come from the line of Shlomo Rosenbaum from Stifel. Sir, your line is open.
Shlomo Rosenbaum: Hi, good morning.
Kenneth Tuchman: Good morning.
Shlomo Rosenbaum: Ken, what percentage of your bookings from last year are now what you would categorize as repeatable multi-year revenue? As you have more of your bookings going towards the emerging markets, what's the shift, what does it look like, how much has to be resold every year?
Kenneth Tuchman: I am going to let Regina answer the question. But what I want to point out to you is that even in our consulting business, which you could argue is not recurring revenue, what you find in that business is, is that the projects might not be per se recurring, meaning they have a beginning, a middle and an end, but the clients tend to be very much recurring and so consequently the revenue base tends to be pretty stable. But with that let me let Regina answer that question for you.
Regina Paolillo: Yes. The recurring is about 55% and the non-recurring is 45% for '15. But I would echo what Ken said, if you look at that non-recurring in our consulting business and in our CTS business for product and consulting even there, there is a real repeatability of that business on a regular basis. So for example in CTS, we will come into the year because of that repeatability with somewhere between 60% and 65% of backlog. And even in consulting, we come in with pretty significant backlog given the frequency in which clients are writing SOWs with us.
Kenneth Tuchman: And both of those businesses, Shlomo, as you can imagine with what's going on in omni-channel and what's going on in cloud, every major corporation is going through a massive transition off of their premise based equipment onto cloud, as well as from one to two channels of voice plus maybe emails to now 10 channels, and need an integrated omni-channel approach. So, we see a long tail on the CTS business, and on the consulting business, ditto, because all of our clients and every company that we are focused on are all right now in a massive transformation mode, trying to re-jigger and rewire for the digital economy, so that they can be competitive to an Amazon or Uber, et cetera. I don't think we have a single client that doesn't have their goals on how are they going to compete in this highly - in this world that's fast moving to all digital.
Shlomo Rosenbaum: Sure, I can appreciate it. What I'm just trying to do is map the bookings, which were, you know, on a percentage of revenue are kind of like 36% of last year's revenue, to the organic growth and just try to parse when we see bookings what kind of growth can we expect from it. But I understand what you're explaining. Just to change tag for a second question, Regina, could you just explain, there is like a $2.1 million add-back for changes in valuation allowance and return to provision adjustments. I just don't understand what that is, is that a tax add-back or something…
Regina Paolillo: Yes, that's just a tax expense. What I would say is it's a tax expense. It affected the tax provision.
Shlomo Rosenbaum: And so, is that part of the 20% or so underlying tax rate expense?
Regina Paolillo: It's how to go from the reported tax rate of 26.8% in Q4 to the normalized tax rate of 19.7%.
Shlomo Rosenbaum: Okay, okay, now I got it. And if I could just squeeze in a last thing, can you just go into the detail of what was going on in the healthcare side, just so we get a little bit more detail on the variance and how you guys are thinking about projecting that business?
Regina Paolillo: Yes. So Q4 was - the volumes in our healthcare business were down relative to the exchange volumes. So I would say kind of in the - in the kind of mid - early to mid-November we started to detect in conversations and forecasts with our clients that the volumes that they projected for the exchange business just did not materialize, and I think that was really shared very broadly in the industry. If you look at Q4 bookings and Q1 bookings, and just in general, we are moving more and more towards the majority of that business being ongoing as opposed to seasonal. So I'm not saying it's a one-time. What I am saying is that we continue to grow our healthcare business. We'll see strong bookings in Q1, and that we're filling out those relationships, some of which started on seasonal volume. The level of service and capability we bring is winning us what I would say is 365 days a year business. So, see that as less of an issue going into the fourth quarter of 2016. So, to some extent, one time and then improved by the fact that that healthcare business is growing and is ongoing.
Shlomo Rosenbaum: Okay. Thanks so much.
Paul Miller: Operator, you may conclude the call.